Executives: J. Boyd Douglas - Chief Executive Officer, President and Executive Director David A. Dye - Chairman, Chief Financial Officer, Vice President of Finance, Secretary and Treasurer 
Analysts: Mohan A. Naidu - Stephens Inc., Research Division Ryan Daniels - William Blair & Company L.L.C., Research Division Jamie Stockton - Wells Fargo Securities, LLC, Research Division David Larsen - Leerink Swann LLC, Research Division Donald Hooker - KeyBanc Capital Markets Inc., Research Division Sean W. Wieland - Piper Jaffray Companies, Research Division David K. Francis - RBC Capital Markets, LLC, Research Division George Hill - Deutsche Bank AG, Research Division Nicholas Jansen - Raymond James & Associates, Inc., Research Division Richard C. Close - Avondale Partners, LLC, Research Division Bret D. Jones - Oppenheimer & Co. Inc., Research Division Garen Sarafian - Citigroup Inc, Research Division Alexander Y. Draper - SunTrust Robinson Humphrey, Inc., Research Division Eugene Mark Mannheimer - Topeka Capital Markets Inc., Research Division
Operator: Ladies and gentlemen, thank you for standing by, and welcome to the CPSI Third Quarter 2014 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded today, Friday, October 31, 2014. I would now like to turn the conference over to Boyd Douglas, President and Chief Executive Officer of CPSI. Please go ahead, sir.
J. Boyd Douglas: Thank you, Maladin. Good morning, everyone, and thank you for joining us. During this conference call, we may make statements regarding future operating plans, expectations and performance that constitute forward-looking statements made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. We caution you that any such forward-looking statements only reflect management expectations and predictions based upon currently available information, and are not guarantees of future results or performance. Actual results might differ materially from those expressed or implied by such forward-looking statements as a result of known and unknown risk, uncertainties and other factors, including those described in our public releases and reports filed with the Securities and Exchange Commission, including but not limited to, our most recent annual report on Form 10-K. We also caution investors that the forward-looking information provided in this call represents our outlook only as of this date, and we undertake no obligation to update or revise any forward-looking statements to reflect events or developments after the date of this call. Joining me on the call this morning is David Dye, our Chief Financial Officer. David and I have a few minutes of prepared comments, and then we'll be happy to take your questions. In the third quarter, we installed our Financial and Patient Accounting System in 9 hospitals and our core clinical departmental applications at 6 facilities. Additionally, 3 hospitals implemented nursing Point of Care and 57 customers went live with physician’s applications, which consist of ChartLink, CPOE and Physician Documentation. Add-on sales to existing clients were $14.6 million or 27% of total revenue for the quarter. At this time, we expect to install our Financial and Patient Accounting System in 3 facilities in the fourth quarter. We anticipate 6 new installations of our core clinical departmental modules, 7 nursing Point of Care implementations, 23 installations of physician’s applications and 4 ED implementations. With the start of the 2015 Meaningful Use attestation period on October 1 for eligible hospitals, I wanted to recap our performance in 2014. In the last call, I touched on the fact that achieving Stage 2 attestation is considerably more difficult than with Stage 1. The reporting by CMS has certainly borne this fact out. According to the latest information released by CMS on September 30, only 200 hospitals have successfully attested to Stage 2 under the complete EHR hospital inpatient designation. That is compared to roughly 3,000 hospitals that have attested to Stage 1 to date. I'm very pleased to say that out of those 200 hospitals, 38 of those are CPSI clients, which puts us behind only Epic as far as Stage 2 hospital attestations by vendor. Also I think it's worth noting that when looking at vendors who are our traditional competitors in the rural and critical access hospital space, the total for those 5 vendors is only 16, and 3 of those vendors do not have a single hospital who have successfully attested for Stage 2. As a side note, we had a number of customers, in addition to the 38 reported by CMS, who meet the Stage 2 objectives and could have attested prior to September 30, but the CMS attestation website was down for several weeks at the end of the third quarter reporting period, which prevented them from doing so. Looking ahead, based on direct feedback from our customers, there are another 54 of our client hospitals who have already attested to Stage 2 after the September 30 report was released. In addition to those 54, there are over 140 of our customers who met the Stage 2 objectives in the fourth quarter and have indicated to us that they plan to complete their attestation period prior to the November 30 deadline. Adding up the numbers, that means well over 200 CPSI client hospitals will attest to achieving Stage 2 Meaningful Use in federal fiscal year 2014. And we don't want to forget that in addition to the approximately 100 of our hospitals who attested to Stage 1 year 1 or year 2 in 2014. At the risk of repeating myself, because I know I've said this, but there's no other better way to say it, the numbers speak for themselves. There's nothing I can add that more clearly defines the disparity and success between CPSI and our competitors in enabling our clients to achieve Meaningful Use. The job our customers and staff have done here is nothing short of remarkable and I'd be remiss if I didn't recognize them for their efforts. I would like to spend a few moments with regard to development in areas that we haven't talked about to date. One is the CommonWell Health Alliance. As a founding member, we've been committed to the CommonWell mission of healthcare inner operability for the common good. We participated with the other founding members in the successful pilot project earlier this year and are now moving ahead with plans for full implementation and deployment of CommonWell services. Our product team has done great work in getting us this far in a relatively short period of time and continue to push forward with building in the native functionality necessary for a successful deployment. If you're not familiar with CommonWell, I encourage you to visit the alliance's website at www.commonwellalliance.org to learn more about our alliance. The other development project that I wanted to speak to is our predictive analytics projects through the use of Big Data. We briefly mentioned this on the call in the last quarter's call. We believe the possibilities for both CPSI and TruBridge are significant, whether it's building in the analytics as part of the CPSI EHR solution or TruBridge consultants providing guidance on addressing identified risk and opportunities. There's no doubt that the potential is there. We expect to have announcement with more detailed information in the next few weeks. With that, I'd like to turn the call over to David for his comments.
David A. Dye: Thanks, Boyd. Good morning, everyone. Our employee headcount as of September 30 was 1,386, up 23 over last quarter and down 34 year-over-year. CapEx for the quarter was $500,000 compared with $600,000 for the same quarter last year. As stated in the earnings release, we have $1.4 million remaining in unrecognized revenue from gen 1 contracts. This amount is comprised primarily from one customer. This customer has recently successfully attested for both Medicaid and Medicare Meaningful Use, and we expect to recognize this revenue in the fourth quarter. We had a solid quarter from a cash collection standpoint, with significant sequential and year-over-year increases in both collections and cash flow. This is despite the fact that collections were negatively affected by the CMS attestation system problems in the second half of the quarter that Boyd mentioned in his comments, as several of our gen 2 contract customers experienced payment delays. The trend has reversed in October as we have collected over $3 million on gen 2 contract so far this month. We expect our fourth quarter cash collections to be very strong due to continued Meaningful Use gen 2 contract payments. Our TruBridge subsidiary had another solid quarter, growing 14% over the same period last year and 15% year-to-date. We are seeing growth in virtually all of the TruBridge offerings, and we are particularly excited about the potential of medical records coding and clinical documentation improvement or CDI. Our coding services has been operational for over a year now and demand has been steadily increasing. And a looming ICD-10 deadline has recently generated a substantial surge in our pipeline. Regarding CDI, the results from our CDI engagements have been remarkable. By working with our customers to ensure that the clinical care provided is completely and properly documented, TruBridge can play a major role in improving both our customers compliance and payer reimbursement. Maladin, if you could please open the call for questions.
Operator: [Operator Instructions] And our first question comes from the line of Mohan Naidu with Stephens Inc.
Mohan A. Naidu - Stephens Inc., Research Division: Boyd, congrats on this traction on Stage 2. Maybe I'll start there. What percentage of your customers who have already bought the software and implemented the necessary work for attesting for Stage 2? And I know you said that you're going to have about 200 of them attesting in fiscal '14.
David A. Dye: Yes. Good morning, Mohan. About 65%.
Mohan A. Naidu - Stephens Inc., Research Division: Okay, great. And sitting on that Stage 2. So the attestation reporting period is going to be about a year instead of the 90 day [ph] is that a concern for your customers? Or how are you guys tracking that?
J. Boyd Douglas: Certainly. That makes the hurdle even higher to get over, so it is a concern. Obviously, there's a push out there to shorten that to 90 days. But we feel like it was competitively within our system. We're giving our customers the best chances for success with our EMR platform. So if it is a year, it's not necessarily -- not something that we're afraid of. And in fact, that would probably bolster our position in the market, because we feel like we've got the best tool to allow them to achieve that you're.
Mohan A. Naidu - Stephens Inc., Research Division: Great. One last question on ambulatory EHR. Is it GAF [ph] or am I reading that wrong? Is it supposed to be next year?
J. Boyd Douglas: I'm sorry?
Mohan A. Naidu - Stephens Inc., Research Division: [indiscernible] available to your customers?
J. Boyd Douglas: The ED package?
Mohan A. Naidu - Stephens Inc., Research Division: The ambulatory electronic health record.
J. Boyd Douglas: Yes, yes. It is generally available, it is.
Operator: And our question comes from the line of Ryan Daniels with William Blair.
Ryan Daniels - William Blair & Company L.L.C., Research Division: Let me start with one just on the implementations during the quarter. Looked like the core clinicals was a little bit lower than your expectations, and I'm surprised given that you did 9 financials that the clinicals weren't bundled there. Is that just a timing issue or any color you have there?
J. Boyd Douglas: Yes. It was a timing issue, and it was actually a 3-hospital group, I guess, if you will, that were scheduled in soft clinicals, and they pushed that back.
Ryan Daniels - William Blair & Company L.L.C., Research Division: Is that part of the Q4 implementation then?
J. Boyd Douglas: It is -- actually, it's not on the schedule as of this point, so no it's not.
Ryan Daniels - William Blair & Company L.L.C., Research Division: Okay. And then maybe a couple of more question on the population health and in your analytics comments. I know there was an announcement on the CMS about advance payment programs to kind of help fund some of the critical access in rural hospitals to start shared savings programs. Is that something that's kind of accelerated your interest, or client interest in having these type of solutions more rapidly in the market?
J. Boyd Douglas: I wouldn't say that it accelerated only because we were -- this has been our #1 priority as we mentioned last time and continue to be for a while. Certainly, it gets us more excited about it, and insures us and makes us feel better that we are moving in the right direction. And so we're happy to see that, but I don't think it accelerated our interest in it because it was already our top priority.
Ryan Daniels - William Blair & Company L.L.C., Research Division: Okay. Perfect. And then last one just on TruBridge, maybe a two-fold question. Number one, I think you typically give us kind of the new contracts signed so if we could get that, that'll be great for our models. And then number 2, do you have any data about the CDI engagement? It sounds like those are off to a very strong start. And kind of what are you seeing there? Is it better revenue capture? Is it helping with audits? What kind of value proposition are you seeing for your client base?
David A. Dye: Yes. At this point, on the CDI, Ryan, one that -- we've done less than a handful, but it's been significant increase in revenue capture, and obviously, we feel bolstered compliance in the event of an audit. We haven't experienced an audit improvement yet, but definitely significant increase in revenue capture. I think Boyd's looking up the numbers for TruBridge. I don't know if he's got them yet?
J. Boyd Douglas: Yes. I got them right here. For the TruBridge, for the third quarter, we signed one full business office and 10 private pay and follow-ups.
Operator: And our next question comes from the line of Jamie Stockton with Wells Fargo.
Jamie Stockton - Wells Fargo Securities, LLC, Research Division: I guess, maybe just a couple, Boyd or David, I don't know who wants to take it, but on Stage 2, your numbers are very good. A lot of your competitors don't have good numbers. Have you seen a benefit from that as far as your win rate is concerned with incremental decisions that are occurring yet? Or is that more of a, hey we're going to have to wait until 2015 and you know when these numbers are a little more fully baked and the market is more aware of the differentiation?
David A. Dye: Yes. Actually -- great question, Jamie. Actually, what we've seen at this point is some folks just put on the brakes. For the deals that have happened, we've actually seen our win rate go up. But I think because of the actual and perceived difficulty with Stage 2, the market kind of, in this rural hospital market place, has just stalled. We are of course -- the quality of our prospects I would say is, I don't want to over exaggerate, but something close to an all-time high, because the ones that are there, are generally speaking there, because they're unhappy with where their vendor is with regard to Stage 2. We are hopeful that, that would -- that trend would increase based on the numbers that Boyd mentioned. We don't really see anything happening that indicates that the vendors that are struggling are going to get significantly better in the short period of time, especially, as Mohan mentioned, with the fact that it's a full year attestation period for Stage 2, beginning in Medicare fiscal 2015. So what we can control is the support and the products that we provide to our current customers and to be as aggressive as possible as we can in the new hospital marketplace. We can't force people to make decisions, but we obviously want to be their choice when they do. We think that there's potential that the amount of decisions will increase because of the fact that we've got a proven Stage 2 solution and some of our competitors are clearly struggling. But that remains to be seen.
Jamie Stockton - Wells Fargo Securities, LLC, Research Division: Okay, that's great. And maybe just along those same lines. As far as the pace of decisions, do you have any initial feel for what ICD-10 is going to do as far as causing people to wait and not do something in 2015 or causing them to go ahead and do something if they could get it done far enough ahead of the deadline on October of next year?
David A. Dye: Yes. I know from communicating with our sales folks and both on the CPSI side and TruBridge side, I don't know one case where someone's verbalized the fact that they are or not going to make a decision based on the ICD-10 timeline. I do think more so than we did over a year ago, when this thing, when ICD-10 was delayed, I do think that the ICD-10 implementation has a chance to have a somewhat meaningful impact on TruBridge for us, in a good way, obviously. But I don't see it at this point, as a negative or a positive with regard to system sales to CPSI.
Operator: Our next question comes from the line of David Larsen with Leerink.
David Larsen - Leerink Swann LLC, Research Division: Dave, can you just touch on the guidance expectations for 2014? It obviously implies a bit of a ramp in 4Q.
David A. Dye: I got it. Yes, as I think we've said many times before, our policy is not to reiterate or update our guidance up or down unless we feel like there's a financially meaningful upside or downside. So that's our statement.
David Larsen - Leerink Swann LLC, Research Division: Okay. So you'll have I think $1.4 million flowing through from gen 1 contracts in the fourth quarter. Those typically are at higher-margin, because all of the cost tied to that have already been incurred in previous periods, so that's probably, I mean that will probably benefit your P&L in the fourth quarter on a sequential basis at least. Is that fair?
David A. Dye: That is fair.
David Larsen - Leerink Swann LLC, Research Division: Okay, great. And then I think you used the term pause, Dave, for Stage 2. Can you give any -- maybe a little more -- any more color around that? It seems like there's a bit -- in terms of your fourth quarter expected installs, a bit of a decline like 3 for patient accounting and financial compared to 9 in this quarter. Would you expect that to ramp back up in '15? Just any general thoughts around that?
J. Boyd Douglas: Certainly, we think that the numbers for the fourth quarter, the decline from third quarter is mainly attributable to what we've seen several years now in Meaningful Use timing, with people getting things done and then kind of pausing in the fourth quarter. So I think it's realistic that things can return to more normal levels, absolutely.
David Larsen - Leerink Swann LLC, Research Division: Okay. And then, your G&A -- I mean $7.5 million in the quarter, was there a -- did you guys have a conference again in the second quarter, because I thought that, that would have declined a little bit on a sequential basis, it came in a little bit higher than expected. Anything -- any comments around your cost structure or is that pretty much as expected?
David A. Dye: Yes. Our health insurance costs were high, over $800,000, up on a sequential basis, as we -- again, as we talked about before. We're primarily self-insured we'd have all our deductibles now in the third quarter, so we expect that number to go down in the fourth quarter.
Operator: Our next question comes from the line of Donald Hooker with KeyBanc.
Donald Hooker - KeyBanc Capital Markets Inc., Research Division: Congrats on the Stage 2 achievements. And I wanted to actually ask you about the maintenance fee revenue dipped a little bit in the third quarter sequentially, which I think is somewhat unusual. I know you're selling a lot of these software modules on top of your core systems over the past number of quarters. Can you talk about maybe how that's affecting maintenance fees? How should we think about that going forward? Or what the structure of that is?
David A. Dye: Yes. We should see it go back to its normalized quarter-over-quarter growth going into the fourth quarter. We had a bit of a bump in the second quarter due to GAAP policies with recognition of Stage 1 Meaningful Use contracts and when they flow through with one that paid out in the second quarter. And then we also had a minor hit in the third quarter of about a little bit over $100,000 on a reclassification of some electronic interface stuff that had been previously recognized as support and maintenance that we moved into system sales. So we absolutely expect the quarter-over-quarter growth to resume in the fourth quarter with support and maintenance.
Donald Hooker - KeyBanc Capital Markets Inc., Research Division: Got you. I'm not sure I understand the GAAP. What would the GAAP policy? How much was that impact?
David A. Dye: I don't have that in front of me, but it was several hundred thousand dollars, I think somewhere around $0.5 million.
Donald Hooker - KeyBanc Capital Markets Inc., Research Division: Okay, that's a big hit. Okay. And then maybe, also, just one more and let others ask, but I know you've had this TruBridge business that's growing mid-teens, very, very interesting. And you're putting a lot of resources into that in anticipation of more demand, so gross margins are down. How do we think about gross margins going forward? I know you're intentionally keeping them low. So are you going to be releasing some of that hires? Or is your hiring still going to continue?
David A. Dye: I'm hesitant to say at this point, at some point I do think it's feel strongly, it's going to creep back up. We're still excited about what's going on there with regard to coding and in some of the -- as I mentioned the CDI, clinical consulting. And so we are, I think I used this term before, but in terms of hiring folks, when we have the opportunity to hire good folks with those skills, we're kind of throwing caution to the wind, because the way the pipeline looks it seems like the smart thing to do at this point. So I'm hesitant to give you a time frame when I think they'll start to creep back up again. But I do think -- I don't think this is a normalized gross margin. But I don't know when I think we'll start heading more towards that normalized gross margin as long as we continue to see the growth that we see.
Donald Hooker - KeyBanc Capital Markets Inc., Research Division: Okay. I mean, that all makes sense. I was just trying to sort of set expectations, I so guess maybe the message is sort of for investors to keep that a little bit lower as you're preparing for demand going for the next few quarters. Is that summarizing?
David A. Dye: I think so, Donald.
Operator: Our next question comes from the line of Sean Wieland with Piper Jaffray.
Sean W. Wieland - Piper Jaffray Companies, Research Division: Your guidance for the fourth quarter on the implementations are all down year-over-year and in particular, patient accounting of the new sales of, I think did you say 3? So my question is what's going on there?
J. Boyd Douglas: As I've said earlier, I think some of it has to do with just Meaningful Use timing. As David mentioned, Stage 2, some of these hospitals have seem to take a pause and look back. So I don't know that there's much more to add than that.
David A. Dye: Yes. I think the important thing, Sean, is, as I said, I think there's has been a bit of a pause that we didn't necessarily expect to be honest. I think our competitors are not winning deals in our space. So it's not like their numbers are up. We care about what we control, which is the percentage of the deals that we win. Our customer retention rate is extremely high, something close to an all-time high right now because of our success with MU1 and now 2. And I think at this point, everybody who's made a decision to spend significant funds to have the CPSI system to be able to achieve Meaningful Use is set, as long as we perform, which we're doing. So we feel good about the factors that we control. We're obviously hopeful that those numbers will get back up again in 2015 and beyond. And -- but we can't control the marketplace, we can only control our position within the marketplace. So that remains to be seen.
Sean W. Wieland - Piper Jaffray Companies, Research Division: All right. So of your either recent deals that you've done or maybe forecasted in your pipeline, what's the mix of net new business versus the customer could -- I mean, is there any greenfield left, whether the customer could -- competitive conversion versus add-on?
David A. Dye: No, there's no greenfield left.
J. Boyd Douglas: Pretty much everybody has attested to Stage 1. So everybody's got something that got them through Stage 1. So I want to be careful here with the definition of greenfield, everybody's got some kind of EMR system that has gotten them Stage 1. Therefore, we said there's no greenfield left. But there's certainly plenty, we think, of opportunities of hospitals that are in a position where they got Stage 1, but maybe barely or they really struggled, but Stage 2 is now looming. And that's where we feel like our position in the marketplace is going to be beneficial to us.
Sean W. Wieland - Piper Jaffray Companies, Research Division: Okay. And was there any gen 1 revenue recognized in the third quarter?
David A. Dye: $200,000.
Operator: And our next question comes from the line of Dave Francis with RBC Capital Markets.
David K. Francis - RBC Capital Markets, LLC, Research Division: First, David, you may be the first person I've ever heard say that they were excited about coding, so congratulations on that. I guess I wanted to kind of go further down this line of the demand curve. I don't know if you mentioned it as you were blowing through the numbers in the front half of the call, but did you mentioned how many new system sales were made in the quarter on the CPSI side?
David A. Dye: We don't give that number out Dave. We provide the implementation numbers for the previous quarter and the next quarter, but we don't -- we haven't, for a long time, given out the number of contracts that we've won in the quarter. If that's what you're asking, I may have misunderstood your question.
David K. Francis - RBC Capital Markets, LLC, Research Division: No. That's where I was going. I guess I thought that you had done that in the past. As it relates to the competitive landscape than to -- I mean, there's been a lot of noise from some of the larger players in the market trying to move down into your sandbox and what have you. Can you talk about what you've been seeing in that regard, not so much from the establish folks at the lower end, but the newer guys coming down to your neck of the woods?
David A. Dye: Yes. We continued to try and classify that on the call, sort of on a feel basis quarter-over-quarter. If you recall, I think it was about a year ago, we said that we have -- in a given period of time, that we had seen more Cerner. But for the last several quarters and we'll continue this quarter by saying that the activity by the traditional large players in our market was minimal to extremely low in the quarter. We did not see any increased activity.
David K. Francis - RBC Capital Markets, LLC, Research Division: Okay. And last, did you mention and again if I missed it, I apologize, were there any emergency department installations in the quarter?
David A. Dye: Yes, there were. I don't have the exact number, I think it was 3 in the third quarter.
Operator: And our next question comes from the line of George Hill with Deutsche Bank.
George Hill - Deutsche Bank AG, Research Division: I guess I kind of want to come back to where I think Sean was going, which is -- we've seen that Meaningful Use Stage 2 is very difficult to attest and you're helping clients get there. But we're seeing a slowdown in the new implementations, and I kind of want to take it to a higher level and ask, but what's driving customer churn rate? Or what kind of driving the purchasing decision? And is Meaningful Use still a driver of the purchasing decision in your segment of the market? Or is it something kind of more basic just like you need to collect and bill better, look for how [ph] would we think about this?
David A. Dye: Yes. I'd say Meaningful Use is still a driver in that anybody who's out looking right now is out looking because they are unhappy with where their current provider is with regards to Meaningful Use. There are always going to be -- there is always going to be a deal here or there that hospitals are looking, because they're not happy with the way their vendors is providing them revenue cycle management tools or they're not happy with -- the doctors aren't happy with the way CPOE works or that kind of thing. But for the most part right now, it's -- the ones that are out there are out there because they are concerned about their ability to get to Stage 2. I think that answers your question.
George Hill - Deutsche Bank AG, Research Division: Yes. And then I'll kind of keep going down this thread a little bit, which is, I remember Boyd, you've said to them a bunch of times. And we've talked about how you guys feel like you get about 60 to 80 looks a year or 60 to 80 RFPs a year. I guess if we look at the last couple of months and if we look at the next 6 months, is that still the right number? Or when we hear you guys talk about clients out in the brakes a little bit, is the entire kind of like RFP volume environment kind of decreasing?
David A. Dye: It's down a little. Certainly, over the last 3 months, it's down a little. And what we've -- it’s impossible I think to articulate, but we don't know at this point if that's a trend or if that's just because of -- I mean, you've heard it all, this immense amount of chatter around even got to the congressional level about Stage 2 and the difficulty to attest and whether what's going to be 90 days or whether what's going to be a year or whether what's going to be pushed back, Stage 3 getting pushed back. So we don't know if it's in general because it's -- that has sort of given some people an opportunity to say, "Hey, I'm going to, to hang on to what I've got and see if they can get their Stage 2 stuff figured out, and I can get there on this system and then maybe look down the road prior to Stage 3." Or it remains to be seen. But certainly the fact that we've got some -- our traditional competitors are where they are with regard to Stage 2 attestations. I mean, we feel like that's for a reason. And clearly, they're all, what's the word, certified for Meaningful Use. But to have 0 to just a handful that have actually attested, there's a reason. So we're encouraged by that. How that shakes out remains to be seen. So an honest answer to your question, is we don't know. We don't know if what we've seen over the last quarter is more of a trend or is -- it was just a pause.
George Hill - Deutsche Bank AG, Research Division: Okay. That's very helpful. And then maybe just my last point on that would then be -- if I look at things like the class scores for you guys have kind of a hit or miss. Are you guys seeing any increase in client churn? Or do you feel like client retention is pretty stable?
David A. Dye: Yes. Our class scores have been hit or miss now for 25 years. We don't have particularly good relationship there. But I'll put our performance up against anybody else who's been ahead of us over that time frame. Our customer churn rate, I think I kind of mentioned this earlier, it's at an all-time high. And I think -- we are close to it, I guess that's a bit strong, but we're virtually losing no one. And I think there's a logical reason for that. And that is anybody -- as long as we can get the job done, clearly we can with the Stage 2 numbers that we bragged about here today. At this point, with everything else that's going on, why would anybody switch vendors? And so that's kind of what why we feel like we are where we are there.
George Hill - Deutsche Bank AG, Research Division: Just to be clear so nobody in the call misheard that. I think from our perspective that means customer churn was an all-time low.
David A. Dye: Correct. Sorry.
George Hill - Deutsche Bank AG, Research Division: Not an all-time high.
David A. Dye: We think we've been an all-time high in churns at an all-time low.
George Hill - Deutsche Bank AG, Research Division: With churns to the ultima [ph]. Okay.
David A. Dye: Thank you for correcting out.
Operator: Our next question comes from the line of Nicholas Jansen with Raymond James.
Nicholas Jansen - Raymond James & Associates, Inc., Research Division: Regarding the predictive analytics, I know you guys are going to be announcing something shortly, but just trying to get a sense of do you need to make an investment on the expense side before you roll something out on those lines. I'm just trying to get a sense of your employee count today. And how we should think about that headcount going forward?
David A. Dye: At this point, from an employee standpoint, I don't think there will be a significant investment. And also from a product standpoint, certainly there has been since then and that will ramp up a little bit. I don't, at this point, think it will be a number that we think of as meaningful from an accounting perspective at this point. But certainly, something over the next several months into the tune of $0.5 million or so in investment and in product and people is realistic.
Nicholas Jansen - Raymond James & Associates, Inc., Research Division: Okay, that's helpful. And then looking -- turning to the balance sheet, obviously, very strong cash collections, you're going to be ending the year with significant kind of cash. How should we think about your historical capital allocation philosophy and kind of playing that into 2015 and '16? Is M&A an opportunity or is this more kind of just steady Eddie like you usually do? Just any color on capital allocation would be great.
David A. Dye: Certainly, more likely steady Eddie. You never say never on M&A, but as you know, traditionally or in our history, we've never done any acquisitions. And as we have done I think since 2003, the board will look at the dividend in the first quarter.
Operator: Our next question comes from the line of Richard Close with Avondale Partners.
Richard C. Close - Avondale Partners, LLC, Research Division: Yes. David, I'd like to follow up with you after the call. We got in into the call late for some reason. But with respect to the growth in the TruBridge, I was wondering if you can break that down. I think in your 10-Qs, you do break down some of the growth metrics into various buckets, I guess IT, managed services and the medical coding and private take. Do you, guys, have that information handy with you?
David A. Dye: We do not, unfortunately. Certainly, we'll have it in the Q. I will say and you may have missed this part of the call, we're particularly strong right now and increasing in a little bit in everything, but particularly excited about coding. And most of the clinical stuff, clinical consulting, CDI and that type of thing.
Richard C. Close - Avondale Partners, LLC, Research Division: And is all of the revenue in that recognize -- more recurring in nature, if you can just go over how you guys recognize revenue in all those different areas?
David A. Dye: Well, the vast majority of it is recurring. The consulting pieces are not so much. They generally get recognized over the period of about 2 quarters based on the average length of those engagements. That's true of CDI as well. So obviously, the majority of the revenue cycle stuff like full business office, private pay collection and claims eligibility, all of that we consider very much recurring.
Richard C. Close - Avondale Partners, LLC, Research Division: Okay. With the new implementations that occurred in the third quarter, how many of those were financed? I think through the 6 months, about or less than 1/2 of the '14 were financed and that compares to like I think almost 100% in '13.
David A. Dye: Yes, less than 1/2 again in the third quarter and of the 3 and the fourth quarter, I think only 1 is financed.
Richard C. Close - Avondale Partners, LLC, Research Division: And then just my final question and talking about Stage 2 attestation, obviously, you guys are doing well there. But is it your thought that this pause may be extensive or extended, I should say? That these guys that are having trouble getting to Meaningful Use Stage 2, ultimately just stick it out and -- with their current vendors, and so this might go for a year or so?
David A. Dye: That's a great question. One that I don't think Boyd or I know the answer to. Is it our thought that it might be extended? Yes, it might be extended. That remains to be seen. Trying to put ourselves in a position, if we had hundreds of customers and none of them has achieved Stage 2 Meaningful Use right now, I'm sure it's difficult to come to work. So there's -- I'm sure there's some unhappy customers there. Of course, we're aware of some. You can't get away with that forever. So I mean, honestly, it remains to be seen.
J. Boyd Douglas: And I think I'll just add to that. A lot of times, what drives -- what waves things, what drives these things and these customers that are looking is position satisfaction. And having the success we've had, really starting back to the CPOE with the length of time that we've had it out there and the maturity of the product and now with Physician Documentation, that's where we really see a differentiator is with the physician satisfaction. So it's kind of hard to judge when the physicians at a hospital of one of our competitors say, just have finally had enough and basically demand a system change because that certainly can happen. And that really is kind of outside the Meaningful -- I mean, Meaningful Use is involved, because they're having to move, to say, physician documentation to get to Stage 2. But that not might not be the catalyst. The catalyst is the actual physicians finally saying enough is enough, we're ready for a new system. So that's where we think that puts us in a great position.
Richard C. Close - Avondale Partners, LLC, Research Division: Do you think that whatever announcement you have in the analytic side in a couple of weeks, do you think ultimately, that could be an icebreaker from the standpoint of push people to maybe make a switch or...
J. Boyd Douglas: We're certainly hopeful that it will.
Operator: And our next question comes from the line of Bret Jones with Oppenheimer.
Bret D. Jones - Oppenheimer & Co. Inc., Research Division: I just wanted to touch on the TruBridge margins again. If we look at the, kind of the cost of goods sold within that line, and it was flat sequentially. You had a nice revenue lift in the quarter, and I'm just trying to figure out, where you -- how far ahead do you forward hire? As In how much capacity do you have right now? So if we continue to see the revenues increase, would you be able to hold your COGS flatter? Or should we expect that to pick back up?
David A. Dye: I'm not sure I completely -- we're hiring right now these professionals, both from a coding and a clinical standpoint. And we're thinking about the second half of 2015. [indiscernible]
Bret D. Jones - Oppenheimer & Co. Inc., Research Division: Okay. I guess, I was just looking at it sequentially. Yes, no. I was just looking at it sequentially. We didn't see the cost move up in the quarter, yet revenue went up. And I was just wondering if you guys have forward hire in the second quarter or the first quarter, and that's why we didn't see a significant hire in the third. And do you have excess capacity now?
David A. Dye: If we have excess capacity, it's only minimal. I'm not sure, actually, I have in my head right now the level of detail that you're asking.
Bret D. Jones - Oppenheimer & Co. Inc., Research Division: I got you. Okay. No, thank you. I just wanted to also then touch back on some of the -- since we're in a fully replacement cycle market right now, can you kind of contrast the difference in the sales cycle and also implementation times when you go to convert some of your other [ph] existing EHR systems?
David A. Dye: Yes. I think the implementation time frames are -- from when we get a contract signed to when they implement are relatively traditional. I would say that probably they may have stretched out a little bit, averaging between 120 to 150 days as opposed to maybe some times in the past, 90 to 120. In terms of the decision time frame, that has traditionally been 9 to 12 months from the time they had made a prospect to the time they signed a contract. I don't think we've seen any significant shift there yet. We certainly saw some folks that we thought were going to make a decision in the third quarter not make a decision that are still prospects. So maybe we'll see that trend up a little bit, depending on their uncertainty about their current vendor in Stage 2, et cetera. But we may have more meaningful information there on the sales cycle on the next call.
Bret D. Jones - Oppenheimer & Co. Inc., Research Division: Okay, great. And then the last thing I had, and I think we've touched on this before. But when you talk about medical coding, are you assuming any liability when you take over that responsibility?
David A. Dye: I think we're assuming liability with a lot of the things we do. So sure.
Operator: And our next question comes from the line of Garen Sarafian with Citigroup.
Garen Sarafian - Citigroup Inc, Research Division: Just a couple of questions here. So first question on your activities with CommonWell Alliance. We've heard similar comments from your partners. So I'm just wondering, it sounds nice and makes complete sense, but what type of opportunities is it really opening up in the marketplace when you mentioned it to clients and potential prospects?
David A. Dye: I don't think much. It's probably a bit cheesy to say that we all did this out of the goodness of our hearts, but I think it’s closer to that. I think it's going to help us with new business. I will say that we've got some competitors in our space that haven't joined yet, and that we certainly aren't afraid to mention that when we're talking to the potential hospital clients. But to say that we expected and/or now expect that to benefit us competitively, I think would be a stretch.
J. Boyd Douglas: We did it because felt like it was the right thing to do.
David A. Dye: What we actually -- I would put it this way, we didn't think the government was ever going to do it. So we thought it would be [indiscernible].
Garen Sarafian - Citigroup Inc, Research Division: Great. And then my second question, it's just a sort of a bigger picture question. So you guys have historically been very focused in terms of really sticking to and knitting in terms of your strategy, but now you do very well with what's in your control, but we're starting to see things and trends that might or might not bounce back. So I guess, how are you thinking about your longer-term strategy evolving? Are you more willing to consider external opportunities when it comes to M&A, maybe exporting your capabilities to international markets? Just trying to figure out how you guys -- how you're thinking is evolving as -- of course, you hope for things to bounce back, but if they don't, how are you thinking of shifting?
David A. Dye: Yes. You know what, I think our thinking definitely is evolving. It has been for some time. I mean, I think that, that's the reason why we did begin business management services a decade ago, and why we sort of ramped that up by doing the TruBridge thing almost 2 years ago now. And we are -- I think for 2 reasons, because of the things that you mentioned with the maturity of the marketplace, but then also because of our -- as we become a bigger company and have more scale, we are more open to opportunities. So I think that's all we can say at this point.
Operator: And our next question comes from the line of Sandy Draper with SunTrust.
Alexander Y. Draper - SunTrust Robinson Humphrey, Inc., Research Division: I think most everything has been asked. But maybe just 2 really quick ones. One, going back to the question, David, about the expenses and the -- or the support and maintenance dropping down. I want to make sure I understand, I know you said that you expected to go back up, but where some of it, the reclasses and the GAAP things a onetime thing, and you'll sort of have a big jump up in build? Or this is 18.2 is sort of a new level that you grow off of? I'm just trying to make sure I've got that correct.
David A. Dye: Yes. The third quarter number is, I'd say, perhaps down $100,000 to $200,000 over normalized, and I think we will grow off of that adjusted number.
Alexander Y. Draper - SunTrust Robinson Humphrey, Inc., Research Division: Okay, great. That's helpful. And then second is, also on the expense side, just, I think, coming into this year, maybe even last year, you guys sort of generally hit feud. You did a big amount of hiring in 2009 and '10 for Meaningful Use, and things didn't come in quite as quickly. Then it came in and so your general view was we don't really need to hire and there will be some natural churn. I know you're doing some investments and stuff on the TruBridge side. But in general, do you still feel like essentially a flat headcount, no major hiring is still in the cards for the next year or 2?
David A. Dye: I'd say, I don't want to say for the next year or 2, but for the next year, at this point, we'd expect the number to hover around 1,400 or slightly below, total.
Operator: [Operator Instructions] Our next question comes from the line of Eugene Mannheimer with Topeka.
Eugene Mark Mannheimer - Topeka Capital Markets Inc., Research Division: Congrats on the good numbers, Dave and Boyd. So my question relates to the emergency department product. You touched on it earlier, I guess it's been selling now for about a quarter. You had some expectations at the outset of, I think, 40% to 50% of your customers potentially purchasing that over time. And I just wanted to try to get a sense at this early stage if that's still your view.
David A. Dye: Yes it is.
Eugene Mark Mannheimer - Topeka Capital Markets Inc., Research Division: Okay, great. And you did mention as well in your -- early in the call, there was -- in terms of your installation schedule, there was a 3 hospital system that pushed, and that it sounds like that has not been rescheduled. And I'm just curious as to what you can share about that? Is it market-driven? Is it specific to that hospital as to why they didn't -- why they're not on the schedule at this point.
J. Boyd Douglas: That was specific to those 3. It's a system and it's 3 hospitals, and it was for clinical implementations. And they just weren't ready at the time. So it's specific to that hospital, and we certainly expect them to do it, they just haven't scheduled that yet. So given that we're already into the fourth quarter, I don't see them during the fourth quarter, but I think first quarter will be probably most likely.
Operator: And gentlemen, there are no other questions in the queue at this moment. I'll turn the call back over to you.
J. Boyd Douglas: We just want to thank everyone for being on the call today and for the for your interest in CPSI. And I hope everyone has a happy Halloween and a great weekend.
Operator: Ladies and gentlemen, this does conclude the conference call for today. We thank you for your participation. Have a great rest of the day, everyone.